Somruetai Tantakitti: Good evening, everyone. Welcome to our 2024 conference call. First, let me introduce our management: our CEO, Khun Somchai.
Somchai Lertsutiwong: [Foreign Language]
Somruetai Tantakitti: Our Chief Consumer Business, Khun Pratthana.
Pratthana Leelapanang: [Foreign Language]
Somruetai Tantakitti: Our CEO Broadband, Khun Tee.
Tee Seeumpornroj: [Foreign Language]
Somruetai Tantakitti: Acting Chief Enterprise, Khun Phupa.
Phupa Akavipat: [Foreign Language]
Somruetai Tantakitti: Our CFO, Khun Montri.
Montri Khongkruephan: [Foreign Language]
Somruetai Tantakitti: We also have Head of Investor Relations and Compliance, Khun Nattiya.
Nattiya Poapongsakorn: [Foreign Language]
Somruetai Tantakitti: Myself, Somruetai, will be briefing you the result and running this session. The session will begin with a short brief and then going directly into Q&A. [Operator Instructions] Now let me begin with the presentation. Throughout 2024, we navigated mixed market sentiment taking a cautious stance amid weak consumer confidence and slow private investment. Thailand achieved a modest economic growth driven by government stimulus and tourism recovery. At AIS, we continued expanding steadily, leveraging digital demand while prioritizing profitability to maximize shareholder returns. The mobile revenue grew 4.8% year-on-year driven by our superior network and rising data consumption. The growth mainly came from improvement in the ARPU, especially in the prepaid, while we are continuously enhancing customer value through personalized offerings and content bundling. The broadband business maintained momentum, reaching 5 million subscribers, driven by quality customer acquisition, network expansion and value-added service that continue to uplift the ARPU. The enterprise nonmobile grew 22% year-on-year supported by Triple T Broadband contributions, a strong demand for connectivity and cloud service. Additionally, we significantly improved our sales margin from 1.8% in 2023 to 5.6% in 2024 through focused efforts to optimize the handset subsidies. With the above, we exceeded our guidance upper bound for both core service revenue and EBITDA, driven by strong business performance, operational efficiencies and integration synergies. We delivered a net profit of THB 35,075 million, growing 21% year-on-year. Our leverage ratio declined from 2.9x post acquisition in 2023 to 2.2x at the end of 2024. This reflects strong financial performance. The Board approved dividend per share of THB 10.61 for a full year at payout ratio of 90%. This underscores our commitment to driving shareholder returns through sustained performance improvement. The integration is on track with synergies exceeding expectations due to our accelerated efforts. In 2025, our focus is mainly on IT integration, a key milestone towards achieving a unified operation by 2026. This year, our guidance excludes the spectrum auction scenario and assumes the NT 2100 deal remains in place through year-end. The core service revenue and EBITDA are expected to grow at 3% to 5%, driven by an improved economic outlook. All businesses will continue focusing on high-quality connectivity, enhanced customer value and innovative content and products. The CapEx budget is around THB 26 billion to THB 27 billion. The additional emphasis this year will be on modernization of equipment, integration costs and underground cabling. The allocation are: mobile, around 45%; broadband, 25%; enterprise, 10%; and the remainder is for IT and others. And lastly, please allow me to remind you the next event, which we have already sent the invitation to you. If some of you have not registered and would like to attend, please kindly confirm participance by next Tuesday. We will have an online session arranged for overseas participants, only which we will be sending the link after your confirmation. And this is the end of the short brief. We'll start with the Q&A session now. [Operator Instructions]
Somruetai Tantakitti: First, we Pisut have so from Kasikorn.
Pisut Ngamvijitvong: Yes, can you hear me?
Somruetai Tantakitti: Cannot hear.
Pisut Ngamvijitvong: Yes. Can you hear me now?
Somruetai Tantakitti: Can you speak louder, please?
Pisut Ngamvijitvong: Is this better?
Somruetai Tantakitti: Yes.
Pisut Ngamvijitvong: Okay. Congratulations to your quite a strong result. May I have three questions. This is Pisut from Kasikorn Securities. The first question is about your idea regarding the growth of data consumption for the consumer segment. I understand that you have done a large part, the fixing of data prices over the past few quarters. Have you ever noticed the slowdown in the growth trajectory of data consumption so far? And at what degree, if you can share? And may I get your view about the future growth potential of data consumption especially when the AI technologies become the major component of mainstream uses for the consumers probably in the next 3 to 4 years? That's my first question. My second question is about your EBITDA growth guidance, which is 3% to 5% this year, same as your core revenue growth guidance of 3% to 5% as well. Just wondering where -- why will your EBITDA growth not leverage, the operating leverage effect, as you are the infrastructure capital-intensive business. And my last question is about your cost transformation from the roaming fee with NT to the cost related to the new license of 2.1 gigahertz. Just want to make it clear. And it would be great if you can help us what the financial items that will be impacted from these kind of changes?
Pratthana Leelapanang: So allow me to address the first one, when you talk about data consumptions. For past year, we start to see a taper down of overall consumptions along with our plan. If everyone recall that we do have plan to constantly eliminate unsustainable offering. That would help contain the bulk volume of the whole network data consumption. That's as a big picture. But moving forward, we do believe that the data consumption for the rational customer will continue to grow. We will start to see the uplink data consumption come when more and more devices have ability to broadcast more data, like uplink of the video and many more. When the time of AI come, AI will probably help facilitate more processing of information in front of our eyes. That's where we believe that the data consumption will grow. We believe for the next 3 to 5 years, the data consumption per head will probably go about 15% year-on-year depending on the applications. So that's the big picture. But also the growth of broadband, the fixed broadband in the cities going to home will also help reduce the mobile data consumption. Once people hop into home, they hook onto their fiber networks. Even though the consumption is high, but it's on fiber. There would be a mixture of that. So I would say it's a mix of segmentation where they live, mix of the application services that -- about to arise from video, AI and many more to dictate the growth in mobile data consumption.
Montri Khongkruephan: Pisut, on the EBITDA, I'm not quite understand what element you're looking for. But the revenue that we put on the guidance, basically 3% to 5%, and the EBITDA basically, it reflects what we also need to have a variable cost that come to the EBITDA line. On the CapEx, I think if you look at the depreciation and amortization, I think we look at the level of the D&A will be pretty similar to year-on-year. So that's why the top line 3% to 5%, and the growth of EBITDA line is similar to the growth of the top line. And on the 2.1, basically, the -- what we are renting from the NT will end in August. And we also expect it's come to the auctions. The price, I think we also would like to save some money out of that. So I think that's -- maybe you can -- we've also put that into the EBITDA forecast as well. So we already put some savings out of that on 2.1. Does that answer your question, Pisut?
Pisut Ngamvijitvong: Yes, [indiscernible].
Somruetai Tantakitti: Next, we have Piyush from HSBC.
Piyush Choudhary: Congratulations on a good set of results. A few questions. Firstly, on the mobile side, could you talk about the outlook for ARPU? What would be the key drivers for growth going forward? And in the tourist segment, how have been the trends lately year-to-date? Is it comparable to last year? Or are you seeing any -- is it in line with your expectations, et cetera? Secondly, I have a set of questions on the upcoming spectrum auction. I know you have excluded the potential CapEx subject to which spectrum you acquire. But two questions over there. If you acquire additional 1,800 megahertz, what is the implication on your network CapEx? Because you have the existing 1,800 megahertz spectrum. So just wanted to pick your brains on that. And secondly, if you acquire any TDD spectrum, which you don't have currently, then in that scenario, what are the implications on network CapEx?
Pratthana Leelapanang: Let me address the first one. In terms of ARPU outlook, we do believe that the more consumptions, the more usage will lead to higher ARPU. Market start to rationalize itself as we continue on doing that. So I am positive about that. So that's the ARPU. Regarding the tourist segment, year-on-year, we've seen the growth, especially Q1 January comparing to last year. Somehow when we look at Q-on-Q, Q4 is the highest season passed already, and we are going to Q1. So I think month-on-month, Q-on-Q may not be as great. The taper off of the growth in Chinese tourists at this point may not bring a super positive Q-on-Q. But in general, year-on-year is as we expected.
Unknown Executive: On the spectrum auction, I just give interview to the public that AIS will be interested in every opportunity that we have because we cannot direct clearly what frequency that we did based on the collusion of auction also. That's why we will not link this on any spectrum that we interest today. However, as I mentioned all the time, that when we go to auction, we will have the consultant to come up to consider both in the pricing and technology that we need in the future. Investor can estimate what we can see that we clearly need or we don't need, but by our clear -- less clear what in the market, we cannot direct what we will utilize or not utilize.
Montri Khongkruephan: And in terms of the CapEx, if you take into account the timing of the auctions, I think you can say that the CapEx will be in the following years rather than heavily put into this year.
Piyush Choudhary: Right. But just I totally appreciate that you do not like to discuss your spectrum strategy. But theoretically, I'm just asking if you have to buy more spectrum in the same spectrum band, 1,800, would you -- would it require additional network CapEx, or that would be minimal?
Tee Seeumpornroj: Maybe I think let me try to help to the extent I can. It's up to a certain bandwidth I think that it will be minimum CapEx. Over and above certain bandwidth, we will need to invest in certain power units and things like that. I think there are a certain limit on technology. As far as TDD is concerned, I think more or less the same thing. TDD, I think it requires different -- more investment compared to FDD.
Somruetai Tantakitti: Thank you. So we have Ranjan from JPMorgan.
Ranjan Sharma: I apologize for keeping my camera off. A couple of questions from my side. Firstly, on the prepaid ARPU, up 4.4% is pretty impressive growth in a single quarter. If you can help us understand what the drivers were. That's the first question. The second is what are the changes that have been made which you talked about? Like there have been some efforts in the industry to rationalize tariffs. The third question is what -- sorry, the third question is on the NT. Once the agreement expires in August, what is the cost savings that we can expect? And the last question is that you started last year with a conservative guide. Should we expect some level of conservatism from Advanced this year as well in terms of the guidance?
Pratthana Leelapanang: Ranjan, maybe the first question and second are probably intact. Let me address the first one regarding prepaid ARPUs. AIS has been and will continue to be very much focusing on the delivering values to quality customer. So we are highly emphasized on quality customer, quality acquisitions as well as uplifting what's best for our customer. So with that, the prepaid customer in Q4 at the end got that result in terms of uplifting ARPU. So that's number one. Number two, there are also some small impacts and effects on the tourist definitions. Because tourists who visited Thailand less than a month will definitely go into the base that month and go out of the base at the same month. So they are slightly fine-tuning in definition of number of customers for tourists as well. So those 2 impacts has helped on uplifting the ARPU as an overall for prepaids. Your second question regarding tariffs. For the past few quarters, we have been continuing on demonstrate that we no longer carry plans that isn't sustainable. So we continue on eliminating that plan. So that has helped us improve and rationalize the market offering. And I believe the industry also kind of see the same thing; so players around, not so many, going to the same direction.
Montri Khongkruephan: On the 2.1, Ranjan, I think we also have a better outlook in terms of the cost of 2.1. But we cannot address how much saving is going to be because it's subject to the auctions coming. So -- but we anticipate some of the savings out of that. What is your fourth question?
Ranjan Sharma: The fourth is when we started the -- when we had the same call at the beginning of last year, we felt there's a bit of conservatism that Advanced has in the guidance. Should we anticipate some conservatism this year as well?
Montri Khongkruephan: I think at the beginning of last year, I think we issued guidance based on that circumstance. And then when it comes to the half year result, I think we also try to be conservative, especially on the seasonal and also the disaster across Thailand as well. So I think we also issue guidance based on our projections and also the business strategies that we gather altogether. So I think you can stick with that for this juncture.
Somruetai Tantakitti: Thank you. We have Khun Thitithep from KKPS.
Thitithep Nophaket: I have four questions. Can you hear me?
Somruetai Tantakitti: Yes.
Thitithep Nophaket: I don't seem to be able to turn on the camera, I'm sorry. Okay. Here I am. Okay. I have four questions. Number one, I noticed the regulatory fee was 3.9% of revenue in the fourth quarter. It is usually about 4.1% or 4.2%. Is there any special adjustment? Probably will come down to 3.9% permanently? Second one, you touched a little bit on the redefinition of the tourist. Can you help elaborate it? What exactly is the redefinition and whether this is a one-off or whether it would drag on into the first quarter in terms of net adds? Number three, I think Advanced executive expressed interest in the 3,500 megahertz in the public sharing which took place yesterday. Can you tell us why would you need any more 5G spectrum when you already have plenty of 2,600, and then the 5G subscriber is only 1/4 of total subscriber? And then the last one, there's a lot of activities going on in Thailand, suppressing the call center. And I don't know how many SIM do they use. It could be a lot. Do you think is there any chance that it would have any material impact on the revenue going forward?
Montri Khongkruephan: For the first one is -- the first one on the regulatory fee. We, last year -- end of last year, we implemented the sale broadcast for NBTC. So we get the allowance from NBTC for the investment to put on to the saving on the regulatory fee. Basically, we have no profit on this investment but we get allowance from NBTC. So that's what's the cause of the reduction. The second one...
Thitithep Nophaket: So is that -- like it's one-off, right? It's a one-off deduction, and then it will go back to 4.1% again?
Montri Khongkruephan: There will be continued investments on Q1 as well. But I think that will be fairly small compared to December.
Pratthana Leelapanang: For the tourist SIMs definitions, literally, the normal SIM will, in general, have roughly about 90 days of validities when they top up. That's roughly. The tourists, of which they stay less than a month, will then count as a validity 30-day or less. So that would be a definition we continue on using from last quarter onwards. It will be a permanent definition, so it would last, so that piece. What was the impact when you think about that? If there are subscribers who validity is there as active customer for the month that they are not saying, definitely, the ARPU is 0. We definitely are not going to have that for tourists. So the ARPU will be exactly according to how they use and how they stay. So that -- it will be here for a long time.
Unknown Executive: For the spectrum auction, I think this year, when we have the auction, it's very, very special condition because, as you know, now the auction today, we are the [ dual ] player in the market. And second, there are new auction multiband, a lot of band, and they have the plan to obtain the 3.5 gig also in the next. However, when we have this opportunity to pay and also multiband auction, why we not [ up front ], let them announce 3.5 at the same time. Even they are now in this period, the condition that we gave to them that if they implement, like some operator, AIS, to get this 3.5, it doesn't mean we have to pay it upfront. Because the 3.5 is still waiting for [ land ] from the broadcast sector. We can pay it later, but we can hold all the frequency. Because I think in the near future, next 3 years, 3.5 also is the main frequency for our business also.
Pratthana Leelapanang: For your last question regarding call center gangs, we have been putting a very strong measure for last year until now and ongoing on strictly onboarding the right customer. So many of the SIMs at call center gang has been using, as you saw from the news, it can be as many as 300,000 per gangs per time, we hardly find those of which are our SIM. So whether there would be impact to AIS, we do not plan to have that impact because we are more or less planned not to have any SIM fall into the wrong hands.
Somruetai Tantakitti: Next, we have Arthur from Citi, please. We cannot hear you. Hello?
Arthur Pineda: Sorry, can you hear me now?
Somruetai Tantakitti: Yes.
Arthur Pineda: Sorry about that. Just wondering, two questions, please. With regard to your margin guidance of 3% to 5%, are you not expecting your EBITDA to actually grow faster versus your revenues given that there should be additional synergies coming from your 3BB acquisition? Is this mostly done in 2024, and therefore, you're not seeing that benefit in 2025? The second question I had is with regard to the ARPU expansion comments earlier into this year. What will drive up the ARPU? It seems like there's very little pricing activity to drive up ARPUs at the moment.
Tee Seeumpornroj: I think from the margin standpoint, next year, there could be some, I would say, extra costs that we do expect to incur not only in the broadband, but in the overall industry as well. So I think that's why you still see the margin grow more or less the same way as the revenue. I think that's -- people have a lot of questions in mind on that. To what extent we can say what explains we are thinking it may go up, there are some replacement. For example, on broadband side, there are some old equipment at the customers' premises that we need to replace because it's getting older and older, and that start to impact the service quality. So there are some expenses that we see as it's come to the cycle that we need to replace. And second, I think there's some attempt or some effort to do the cable rearrangement. So that's something we also do factor in for the expenses next year as well, just some example. Yes.
Arthur Pineda: For the CPE replacement, is that OpEx or CapEx for you?
Tee Seeumpornroj: It's -- some will be OpEx and some will be CapEx.
Montri Khongkruephan: And I think other, there's some of the -- for IT costs, basically we moved towards the subscription base license rather than invest heavily on the CapEx as well. So that's also translated into the OpEx incremental. So -- but the range, 3% to 5% guidance top line and also the EBITDA levels probably is not the same numbers. Maybe the guidance gives some range for that. So it's not an exact same number.
Pratthana Leelapanang: Your question about ARPU, I presume is the mobile ARPUs. The improvement of mobile ARPU, as I mentioned earlier, that it came from a continuation of effort to eliminate the unsustainable plan, especially when we talk about THB 150 unlimited back then for the past 24 months. If you may recall, they were in the markets that they're called fixed speed low plan unlimited. This has been constantly taken out because it's not sustainable to provide it, and that's the level of THB 150. So we see THB 150 is still there but it isn't unlimited anymore. It is limited. So customers now prefer to pick up the, let's say, prepaid, prefer to pick up the plan -- the on-top plan of THB 200 plus, THB 250 and some of them going to THB 300. So that has helped improve ARPUs.
Arthur Pineda: Understood. Is there any initiative on the broadband side to drive up ARPUs?
Tee Seeumpornroj: I'm sorry, your question was initiative to increase ARPU on broadband?
Arthur Pineda: Yes.
Tee Seeumpornroj: Yes, I think we try to, for sure, add on a few of the new services, especially, I think, to the higher end of the family segment, including, like you saw, we launched last year, I think that the soundbars or -- to target the family and entertainment group of people. We also try to offer more bundling services to bring up ARPUs. We also like to increase the number of services per household that they have with us. So I think later on throughout the year then, we try to uplift and upsell to existing customers. Plus the new sub that we're going to sell, hopefully, we push them to a higher tier of ARPU.
Somruetai Tantakitti: We have Khun Wasu as from Maybank.
Wasu Mattanapotchanart: Congratulations on the strong results. So I have a few questions. The first one is about the tax loss carryforward. So I've noticed that by the end of 2024, AIS has THB 4.2 billion of tax loss carryforward and it's going to expire during the period of 2026 to 2029. So my question is, do you plan to utilize all of this before they expire? So that's the first question. The second question is about the addressable market for the fixed broadband business. According to AIS management team, like what is the size of the market in terms of the fixed broadband household penetration for the whole industry for the next 3 years? And my last question is on the -- my last question is on the room for more synergy and cost savings between AIS and 3BB. Like what is the action plan for this year? Is there a plan to perhaps reduce the number of shops or any types of brand consolidation going forward? So that's the third question.
Montri Khongkruephan: Let me address the first question on the tax loss carryforward. So basically, as long as you make profit, you utilize the loss carryforward. So I think what we do our best is try to make 3BB become more profitable as much as possible. But whether or not we're going to utilize all of that is subject to what profit we can make throughout the next 4 years. So I think that's the -- probably we're not putting any forecast in terms of the -- how we get the tax loss utilization. But we will make sure that the effective tax rate is complied with the Pillar 2 tax. So we not try to lower managed tax expenses, but we utilize whatever we can for us.
Tee Seeumpornroj: Yes. On the addressable market for broadband, I think right now, I'm not sure what penetration percentage we are using because now we have a new total number of households, right? Right now, I think if the number is 29 million households, we -- at least we do expect up to 60%, at least. But it has to come with maybe the type of services that's going to help expand the market as well. I think we find it that the market is still growing, but it's at a lower rate because the people, a lot of time, using mobile as a way to connect to Internet at home. But in the future, once the services are expanding into relevant services at home, then hopefully, people will opt to have another line at home rather than using Internet through mobile. Plus we also need to create product to carry for certain segments. For example, a lot of rental houses or rental apartments that people have right now, I think right now, the contract period is a bit too long for them to subscribe, 24 months. Sometimes they cannot guarantee that or even the expat. I think depending on, I think, the new type of product and services that are going to come out, so hopefully, we can still push the market to grow. And I think your last question about cost savings from the integration this year. I think we will continue to fire on all engines. On the network, we still continue on the integration, helping us save some of the expansion costs on the network coverage. Second, on procurement front, when we combine volume, we can negotiate at a cheaper cost for service to customers. Shops, you mentioned, yes, we are looking to consolidate certain shops that overlap in the service areas, the operating cost at the region as well. So this year, we can move into the go-to-market part of the organization to start to combine and integrate the resources. And hopefully, by end of the year, early next year, we will have kind of one operation team.
Somruetai Tantakitti: We have Khun Pisut from Kasikorn again.
Pisut Ngamvijitvong: Can you hear me?
Somruetai Tantakitti: Yes.
Pisut Ngamvijitvong: I have three follow-up questions. The first one is about your dividend payout indication, which you just raised it to 90% from 88% last year. And if looking forward, there should not be any major investment for you apart from the spectrum auctions, how should I interpret this 2 percentage point addition? Either the first, it is at best you can make it? Or you decide to reserve some flexibility for auction uncertainties? My second question is regarding your demand for an additional mid-band breakdown in this auction. Just want to know how serious do you need to buy more spectrum other than 2.1 gigahertz from NT that are going to expire. And if you and your competitor just get the spectrum that will expire back, which meaning that you get only 2.1 and to get only 2.3, which means that your mid-band holding maybe inferior to your competitors with a big gap. Could that affect your competitiveness in the future considering the possible jump in the data consumption trend continuing? And my last question is on your handset sales strategy. Just noticed that you and your competitor turned more aggressive in the handset trading business lately, given the launch of Galaxy S25. Was this just an occasional traffic or ongoing traffic further?
Weng Hui: Let me answer you on the auction on the multiband auction first. Yes, we'll consider on every plan that we have opportunity. I think it's not only 2.1 or 2.3. I think through also things like this, if the price is not too high, and there are opportunity, everyone will acquire more frequency, in fact, in this. That's why we propose a 3.5 or so to make more an opportunity to have the mid-band in our hand. So it is very true to be a leader in this market, we have to have some frequency, cannot less that our competitor also.
Montri Khongkruephan: On payout, Pisut, I think we try to raise the bar. We've been sticking with 88% for a few years. And the free cash flow we have for this year, I think we'll be able to pay more, and we also reserve something for next coming spectrum action. But just to bear in mind, we also need to balance this with the credit rating agency as well. They monitor us at the net debt to EBITDA. So if the -- we also need to make sure that we have enough cash for the future needs on the financial. And I think if we can go as much as we can, but I think we also need to be sustained. We're not just raising the bar, and then next year, we lower the bar. So I think that's what we plan to do.
Pratthana Leelapanang: For your question regarding handset sales, handset and the new launch of model are highly seasonal. Last quarter, Q4, there were iPhones. This quarter, there is S25. And this quarter, in conjunction and in combined with [ e-taxes, ] so there are a lot of sales [ at ] market, not only AIS but I think everyone. We are in collaboration with Samsung and partners to run a lot of marketing campaign in hope that we stipulate kind of demand in the market. I would say, as the normal marketing activities and demand generation happening over a long term.
Somruetai Tantakitti: We have [ Miling from Alpha Absolute ].
Unknown Analyst: Can you hear me?
Somruetai Tantakitti: Yes.
Unknown Analyst: Okay. Sorry for -- I cannot turn on the camera because I'm working from home and I have no camera. And I have two questions. First, can you correct me if I'm wrong? To my knowledge, lately telco use equipment that can receive both 21 and 18 megahertz at the same time. And you have to -- you have 2,100 60 megahertz and 1,800 40 megahertz. So if you can get 1,800 megahertz in the coming auction, the investment of the equipment in 1,800 should be less than 2,300 that you never invest in the equipment before. Is my understanding correct?
Pratthana Leelapanang: I would say you're generally not wrong. The equipment now today, they call multiband RRU, mean radio receiving units and broadcasting unit are supporting multiple bands. And that multiple band normally 2 bands or 3 bands, depending on version of the equipment. If the band is supported and adding more frequency, we have literally cheaper costs. New bands like 2,300, 3,500 would require a bit more in the new equipment. But it's no longer expensive nowadays. It's really affordable to add in as the capacity expansion is no major one, even though we were to get the new frequencies band.
Unknown Analyst: And the next question is about in the past, normally after the public hearing, NBTC will change any criteria referred to the public hearing before?
Unknown Executive: Yes, yes, depends on the NBTC committee also. But they choose to listen. If not, they don't have the public hearing to provoke all the [indiscernible].
Somruetai Tantakitti: We have Khun Thitithep from KKPS.
Thitithep Nophaket: I have just one follow-up question. Your marketing expense as a percentage of sales in the fourth quarter was 3.0%. That's a record low. I'm wondering how much of that is coming from the mild competition in the market and how much coming from you shifting from the mass media, which is expensive to the online media, which is cheaper? And I wonder whether that ratio is sustainable. Because if you look at this ratio, it has been coming down, your marketing expense as percentage of sales.
Pratthana Leelapanang: The marketing expense is highly seasonal in a lot of factors. The sustainable one that we see right now is the optimizing of device subsidies. We are very focused on getting the proper subsidy and return in terms of ARPU lifetime values. And that has been continued and optimized. So that helped us save. But when we talk about seasonality, this means that once sometime it's low season, then we need to stipulate that, we need to spend marketing dollars. The iPhone came both good time and bad time, means that once the demand is there, we literally no need to market that much. So they come and they pick it up. We can save marketing dollars. So I would say they're up and down depending on seasonality, but we continue to optimize things. But the perception of having -- you said about online is cheaper than traditional media, I don't think so. I think it's the same price anyway.
Somruetai Tantakitti: So we don't have any question from the chat box as well. If you want to ask any questions, you can approach to our IR. We have Piyush, HSBC.
Piyush Choudhary: I have two questions. Firstly, on the broadband, could you share your target for network expansion and subscriber additions? Like what is the expectation over there? Secondly, on the mobile side, can you share like on the consumer AI applications? Are you seeing any early trends which is helping to increase the data usage on the AI use cases, which are the kind of AI use cases you are seeing to help increase data usage?
Tee Seeumpornroj: No, I think on the expansion -- I think the network, I don't think we'll expand that much this year. We target maybe certain areas that we haven't covered. But overall, I think we are pretty happy with the coverage we have. In terms of the subscribers expansion, I think we have a large base now. And typically, I think if you follow our churn rate, I think we are quite at the good churn rate at the moment. Even with that, to sustain net add per year, it's a tough job. So I think we still expect to have more or less net add at the rate that we had before. But what we try to do more is get into the new segment of the customers that typically, they're either not interested in having broadband at home or they have some -- need some more convincing factors to do so. I think that's why we mentioned about certain products for certain segments or the add-on services to actually give more value to customers when they have broadband at home. And that's another way to expand the market faster.
Pratthana Leelapanang: Regarding the consumers' potential device services that could stimulate the uplift in consumption from AI is remain to be seen. We can actually imagine. I think every one of us have heard about real-time processing of videos. We can imagine that when it comes to multiple form of device, like glasses, they can constantly stream the video you see up to the Internet and then processing in real-time, giving a response. That would add on the consumption on the uplink of the data consumption. Currently, by and large, the data consumption came from mobile videos, either short video or long-form videos, social medias. We truly believe that with the rise of AI and cheaper Gen AI about to come, as we saw, it will help many developers and ecosystem to come up with more application service as well as more new form of devices, which is at the end, stimulate the usage.
Somruetai Tantakitti: Okay. I think that's all the questions we have for today, and this is the end of our session. So thank you very much for participating. Let me remind you again about our analysts' meeting on the 17th of February. If you have not registered, please do so. And see you again in the next event. [Foreign Language]